Operator: Good day, everyone, and thank you all for joining us to discuss Equity LifeStyle Properties Second Quarter 2021 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release . As a reminder, this call is being recorded.
Marguerite Nader: Good morning, and thank you for joining us today. I'm pleased to report the results for the second quarter of 2021. Our properties experienced unprecedented demand in the quarter. Our MH revenue, RV revenue, home sales and subscription revenue exceeded our expectations. We continued our record of strong core operations and FFO growth with 30% growth in normalized FFO per share in the quarter. While this growth rate is significantly impacted by the negative comps from 2020, it represents 28% growth from the second quarter 2019. New customer growth in both MH and RV contributed to the positive results in the quarter. Year-to-date new home sales grew by 122%, contributing to the high quality of occupancy at MH Community. Homeowners grew by 179 in the quarter driven by a record number of new wholesales. Our residents recognized the high quality and value of homes in our communities and are especially motivated to buy given trends in the broader real estate market. We continue to focus on digital marketing and our Web site experience as a catalyst for growing our host sales pipeline. The unique traffic to our Web site has grown over 35% compared to the same time prior to the pandemic. Within our RV platform, we saw increased demand during holidays and weekends, as well as strengthened weekday activity. We saw an increase in customers coming to us on an annual basis. The resort lifestyle appeals to our customers as they chose an ELS property for their second home. We are attracting a larger number of new guests than in previous years. And new customers look a lot like our pre-pandemic guests, indicating stability in our growing customer base. The number of new customers added to our database during the first half of 2021 is up 25% compared to 2019. These first time RV-ers are drawn to camping because of an increased desire to spend time outside and the feeling that camping is a safe activity. We see our new customers choosing to increase engagement with us. Our subscription based Thousand Trails camping pass showed significant growth in the quarter. Over 8,000 new members purchased a camp pass, which was an increase of 40% over the second quarter of 2020.
Paul Seavey: Thank you, Marguerite and good morning everyone. I will review our second quarter results, highlight our guidance assumptions for the third quarter and full year 2021 and discuss our balance sheet and debt market conditions. For the second quarter, we reported $0.61 normalized FFO per share, $0.07 ahead of the midpoint of our guidance range. The main drivers of outperformance compared to our guidance were core RV rent revenues and membership revenues including upgrade sales. Our core MH rent growth of 4.7% consists of approximately 4.1% rate growth and 60 basis points related to occupancy gains. We have increased occupancy at 153 sites since December with an increase in  of 283, while renters decreased by 130. While our occupied sites increased during the second quarter, our reported occupancy percentage reflects the impact of expansion sites we've added to our portfolio.
Operator:  Our first question comes from Brad Heffern with RBC Capital Markets. You may proceed with your question.
Brad Heffern: Just to start on the transient guidance, you have the $3.5 million increase. You have the strong 4th of July. I know the first quarter was up about $2.5 million on a number that wasn't really COVID affected. So can you just walk through kind of what's behind that number and if there's upside to it?
Paul Seavey: I think the $3.5 million for the quarter, as I said, is based on our current reservation pays, it does incorporate the 4th of July that 20% translates into about $400,000 of growth. And as we look at the current pace compared to 2020 and 2019, that's the estimate that we have right now.
Brad Heffern: And then maybe switching to acquisitions. Can you talk about the cap rate on that Pine Haven acquisition, and then just any thoughts in general across the three businesses on how the acquisition market was?
Marguerite Nader: So we closed on the property Pine Haven in Cape May. It's very well located near other ELS assets. And just to give you a sense of it, it is about 91% occupied biannual and so it’s highly annualized revenue base, and the cap rate for the transaction was 5%. With respect to going forward this year we've deployed I think about over $350 million of capital into 14 properties and our acquisition team did a great job of underwriting all the deals. It's really difficult to say when properties are going to close. But as we -- we currently have them in various states in the acquisition process.
Operator: Thank you. Our next question comes from Keegan Carl from Berenberg. You may proceed with your question.
Keegan Carl: I know this you touched on earlier, but could you give us a bit more color on what's driving the core RV annual rate growth guidance down? Was it exclusively just higher northern bookings or was there something else on there?
Paul Seavey: It really is the change in the occupancy mix. So as I think I explained maybe on the -- it was January or the April call, 90% of the annual residents in the RV footprint were of notified of their rate increase by last fall. So that increase is pretty steady throughout the year. But as we noted in the quarter as we see kind of a change in the occupancy mix, it does have an impact on the weighted average rate.
Keegan Carl: But there is nothing we should be worried about as far as like downside or concerns in occupancy in other regions, it's just because of the weighting to the north?
Paul Seavey: That's correct, yes…
Marguerite Nader: And there is an increase in overall annual occupancy and it's just the weighting and the rate is different.
Keegan Carl: And then I think kind of going back to transient. Can you give us the breakout of what was the function of volume versus price in the quarter? Is it one or the other that's kind of standing out?
Paul Seavey: I think similar to what we just discussed on the annual side, what we've seen on the transient side is a shift in the mix as well. So the demand in the transient was very strong in some of our higher price locations like the Florida Keys. And so the rates contribution is a pretty heavy number frankly, but it's a function of where people stayed rather than an increase in the rate implemented at individual locations.
Marguerite Nader: And it was also a function of increase in cottage stays, which is a higher price point.
Keegan Carl: And then I mean just kind of on the transient, can you give us kind of a feel for bookings quarter to date outside of the 4th, or do you guys feel like it's trending well above 2019 or how should we think about that?
Paul Seavey: I think, I mean, just -- again, the 20% number that we talked about for the 4tht of July, $3.5 million represents 23% over 2019 for the quarter. And as we thought about the third quarter guidance and looked at actual results for Q3 2019 as we took a look at the percentage of full quarter revenues essentially they’ve looked at the same time in each point in the year and think that we're tracking to those results.
Operator: Thank you. Our next question comes from Nick Joseph with Citi. You may proceed with your question.
Michael Bilerman: It's Michael Bilerman here with Nick. So I've had a question for either Marguerite or Paul, you talked a lot about sort of the new customer activity. And then you mentioned that the new customers look a lot like your existing customers. And so I'm wondering if you can maybe spend a little bit of time talking about new customers that are different. Are you tapping into any new segments either on the RV or the MH side, either customer types, customer demographics, customer incomes, that is different from what you're seeing before and potentially could be stickier or not, maybe they're not having great experience and they’re not going to continue. So just trying to really understand sort of the customer dynamics going on?
Marguerite Nader: Patrick can talk a little bit about the millennial customer, but why don't I just focus a little bit on the customers, the new customers that did come to us this year that came to us during the pandemic in terms of how they acted. The first timers, we call them, they returned and they have future reservation on the books right now, I think it's one in every seven are currently a seasonal or annual member. This percentage is in line with what we've seen before, it's just an overall number is higher that's generating a higher revenue. But the first timers who return they become either Thousand Trails member focused on the Southeast or the Southwest and then the first timers returning as seasonals and annuals, they’re concentrated in Florida, California and the Northeast.
Michael Bilerman: And then just before we switch to millennial, are those customers acting the same as your other first timers, are you getting a better sort of recapture rate?
Marguerite Nader: They're acting -- the percentage that I quoted there was in line, although, the overall number is higher. So they're acting similar to kind of pre-pandemic. So just to kind of point out the stickiness of the new customer.
Michael Bilerman: So the sheer amount of customers has increased and they're acting the same in terms of continuing with you, which is then describing that overall stability in their rental strength? Sorry, Patrick, go ahead.
Patrick Waite: And I guess to reiterate, it's a shift that's having an effect on a significant base in our core customer. But just with respect to those new customers, in particular, the younger generations. In nearly two out of three first time campers were under age 40 that's just high level in the industry itself, as well as millennials making up the largest generation of camping households, it’s almost 40% of camping households in the United States today based on annual survey by KOA, they cover a lot of the key demographics in the asset class. So that reflects what we're seeing in our campgrounds. Based on surveys of campers, new campers, in particular, we're seeing younger campers, younger families, number of them traveling with younger children and something that frequently comes up in the RV space, their pets, by pets that typically means dogs. So that's just qualitatively what we're seeing in our new customers. And I'd also touch on engagement on social media. We grew our new fans and followers in social media by almost 30% that's to a total base of fans and followers of more than 900,000 on Facebook, Instagram, Twitter and Pinterest. Most of that growth for the quarter came from Instagram video content. And we've also reached out and I think our team does a very nice job in connecting with celebrities. We've had Guy Fieri stay at our properties, as well as the celebrity couple Michael Trevino and Bregje Heinen, they stayed with us recently. And that helps to just kind of firm up the status of our brand.
Marguerite Nader: But to be honest, we had to look up who the people at the -- Michael Trevino, we need it  but they are celebrities nonetheless.
Nick Joseph: And this is Nick. Just one other question. I just want to go back to the transaction market, Marguerite. I'm wondering if you're seeing new entrants into the space at all and how that's impacting either bidding or how many people are showing up for these opportunities?
Marguerite Nader: We haven't seen new major players in the last year or so, I would say, of course, we've talked in the past about all of the new players that have shown up over the last five or six years, but nothing new in the recent past. There are -- these assets are highly sought after and highly marketed.
Operator: Our next question comes from Samir Khanal with Evercore ISI.
Samir Khanal: So I guess, Marguerite, can you provide a little bit more color around what growth has been like, I guess, in the marinas business year-to-date as things have started to reopen and normalize here? I think you have close to 25 marinas today with the acquisition. Just trying to figure out how that segment is tracking versus RV or MH here.
Marguerite Nader: So our marina portfolio in the quarter performed in line with our expectations. We generally have long-term revenue streams, we've updated the technology for our for our customers. And what we're seeing is about 4% growth in revenue on the marina side.
Samir Khanal: And then I guess my second question is around transactions. Clearly, bidding is very aggressive on that front. I mean where is the opportunity set for you today when you kind of look at maybe over the next year, is it the marina side, is it the RV side? I mean, how should we be thinking about that?
Marguerite Nader: I mean I think that we certainly -- as we look at our acquisition pipeline, we certainly have opportunities on the MH, RV and marina side. Like I mentioned earlier, difficult to know when a particular asset is going to close. I think that certainly there are a lot more people that are interested in general over the last five years, new entrants into the market. But we have long term relationships with owners, which certainly give us an advantage to at least starting the conversation, in many instances, that still ends up in a bidding process. But I think there are still opportunities -- there are certainly still a lot of opportunities out there as you can see from what we've done year-to-date.
Samir Khanal: And I guess my final question is, have you seen any sort of inflationary pressures in the business today?
Paul Seavey: I think that overall, Samir, we have seen inflationary pressures. We've seen pressure on wages. It's offset somewhat by the challenge in attracting recruiting employees. We're facing similar challenges to many who are trying to recruit hourly employees today. But wages are definitely increasing. And that is also translating into R&M expense with those third parties that we engage for landscaping and other activities at our properties. And then just overall energy costs are pretty volatile, especially given the severe weather patterns that we've been seeing. The demand on energy is significant across the country and we're seeing that play out in our utility expense.
Operator: Our next question comes from Michael Goldsmith with UBS.
Michael Goldsmith: My first question is kind of on the guidance. You beat the high end of your FFO guidance in the quarter, full year you went up by more than that. So what are the changes in your assumptions for the back half of the year, and is there anything else there other than on the transient RV side?
Paul Seavey: The second half of the year, as I mentioned, the core occupancy, so we don't make an assumption just in our standard guidance, we don't make an assumption for future occupancy gains. But on a quarterly basis, we do update for occupancy that we have gained during the prior quarter. So we've done that. We've adjusted our RV revenue growth assumptions. And as I mentioned, that's expected to be $3.5 million higher than last year. And then we did have some adjustments to expenses but I'd say the revenue drivers are most significant.
Michael Goldsmith: And then clearly, there's a lot of strength in the transient RV business and the membership subscriptions. As you look back historically at times with elevated RV demand, how sustainable or captive is this group so it drives the business in future years? And looking forward, does that show up through your annual revenues? I guess, said another way, like can RV revenues remain at these new elevated levels going forward?
Marguerite Nader: As we look ahead, years ago, a few years ago, it was -- the installed base was 9 million RV-ers, now it's 11 million. And in total across the United States, there's about 1 million RV sites. So that ratio bodes very well for us. And we really see it's a transition going from transient to a seasonal to an annual and you'll see that throughout our portfolio. We've certainly seen an increase in members over the last Thousand Trails members and subscription based -- revenue over the last couple of years, and I think that just comes from the demand in RVs overall and the demand for kind of getting out getting out and about and being outdoors with your family.
Michael Goldsmith: And just if I could squeeze one last one in, maybe it's similar to Brad's question in the beginning. But is there anything to read into July 4 weekend being up 21% relative to 2019, while Memorial Day was up 30%, are you starting to see a deceleration here?
Marguerite Nader: Well, I think what you saw there is more of a weekend, last year was effectively closed in many areas of the country. July 4th last year, we were way more open and there were -- people were moving about the country much more, they're much more able to move about the country.
Operator: Our next question comes from Wes Golladay with Baird.
Wes Golladay: Just a quick question on how much of your business is on the books now for the quarter for the transient segment?
Paul Seavey: Certainly, 4th of July, as I said, is up about $400,000 just in terms of the way that we think about it. Labor Day is a big weekend for us as well. The interesting thing about it is how August and September will develop, weather is a huge factor. And so to the extent that we have poor weather, there's going to be impact on the next couple of months. So I think that it's not quite a third, a third, a third in terms of the three months in the quarter, because September typically drops off. But I have to say last year in September was a very strong month for us because the weather was good and people were able to be out at our properties.
Marguerite Nader: And Wes, the booking window can be pretty tight. So you know what as your weekend fills up it may be Thursday or Friday before you know how it's shaping up.
Wes Golladay: My question, I guess, is trying to get at the -- is that where the surprise is coming in the last two quarters is those like near term bookings. Is that where you're seeing it?
Marguerite Nader: Right, that's exactly where it is. And we're seeing an increase, as I mentioned, in weekday traffic that we hadn't seen on a pre-pandemic basis.
Wes Golladay: And then can I get -- I guess, would you have the number of what the revenue uplift is taking the transient to a seasonal and then seasonable to an annual?
Marguerite Nader: I mean, I think that it depends on a property-by-property basis because it really depends where you are in the area of the country. we can circle back with you and kind of provide some guideposts on kind of around the horn basis. We don't have that in front of us right now.
Wes Golladay: And then have you started any developments year-to-date and do you have many going on right now?
Patrick Waite: Yes. We're tracking to , mention on previous calls, our 1,000, 1,100 sites to be delivered for the full year, and that will represent roughly dozen projects. That's tracking basically in line with our previous year, which is around 10 or 11 projects and about the same number of sites.
Wes Golladay: Are those mostly expansions or are those as you ground up in there?
Patrick Waite: Those are mostly expansion, there's initial phase of one ground up. But predominantly, those are driven by expansions and it's skewing a little bit towards for RV for 2021.
Operator: Our next question comes from John Kim with BMO Capital Markets.
John Kim: On Thousand Trails, it looks like your membership increase was the most in at least a decade. Can you remind us what the typical renewal rate is for members?
Marguerite Nader: We have about a 90% renewal rate on members. So we have 10% of the members fall off in any given year.
John Kim: Do you expect that rate to continue over the next 12 months, or do you think there'll be more volatility just given so many new members joined this year?
Marguerite Nader: I don't see that rate really -- that attrition rate hasn't changed much and we've gone through many different cycles, and it hasn't changed -- it doesn't vary very much over time. We sold a lot of camp passes as I mentioned in the quarter, and that also marks a high watermark for sales since we started this 10 years ago. But it's been great that the 50% of those deals were online, it's a really efficient method for sales method. And it still continues to be a very sticky customer base.
John Kim: And Marguerite, can you remind us is there a seasonality when you add members? I know in past years, you provided a guidance for the year. This time you're providing real up-to-date member counts, but you typically have more members in the second and third quarter of the year.
Marguerite Nader: The summer is a big season for us for adding new members, and then it trails off a little bit as you head into the winter.
John Kim: Looking at your marina business, is it fair to assume that most of the leases are annual leases and not seasonal or transient? I'm just comparing your core versus your total RV and marina business.
Paul Seavey: Yes, more than 90% of the revenue comes from annual customers in the marinas portfolio that we have.
John Kim: And so what was the occupancy on the marinas?
Paul Seavey: I think we're at like 90% or 91%.
John Kim: On the topic of occupancy, can you provide the occupancy for the transient RV business in the second quarter and what you expect it to be for the remainder of the year?
Paul Seavey: We don't really quote an occupancy statistic on the transient, John, because the mix of site changes as we use sites for seasonal, they may become transient and we may fill a site that is a transient with annual. So that's not a metric or a statistic that we track or provide…
Marguerite Nader: Which is what you saw, John, us doing in the first quarter when we had difficulty filling the seasonal from the Canadian aspect, the Canadian customer base and then they became transient. So that's one of the reasons it's difficult to quote that number.
John Kim: What about like a total occupancy number then for RVs?
Paul Seavey: Yes, the same thing. We don't track or we don't quote a number for that purpose.
Marguerite Nader: But we provide, John, in the supplemental, it shows the number of sites that are transient and that does adjust every quarter.
John Kim: I might have missed this but have you provided or can you provide an update on your expansion site delivery expectations for this year?
Patrick Waite: It should be around 1,000 to 1,100 sites for the full year.
Operator: Our next question comes from Joshua Dennerlein with Bank of America.
Joshua Dennerlein: I saw the new home sales, the volume looks like it is up a lot and then the gross revenues were up as well. Curious if there's any underlying theme that you're seeing driving that and if you expect it to kind of continue to tick higher across the rest of the year?
Patrick Waite: I'll take the volume first. The volume obviously was up significantly, more than double over the same time last year. So what we're really seeing is strong demand from home buyers. So a big driver of that increase was us selling homes to meet increased buyer demand. And some of that is just a mix of sales and rentals. If you look at Q1 our rentals were, for the most part, in total flat year-over-year. For Q2, they were down more than a hundred and a piece of that is really just more buyers coming through the door, interested in purchasing a home as opposed to renting. So that's kind of a high level on the unit counts. And then just with respect to sale price, sale price was up almost 30% year-over-year. Some of that is really driven by mix of some higher priced units and that will happen just depending on where transactions are happening in any particular quarter. If we look at similar models year-over-year, they're up roughly 10% from a sales price perspective.
Joshua Dennerlein: Curious like that 10% kind of I guess, same kind of unit number you quoted, like do those unit prices kind of track the overall home price market from that basis? I know we've seen significant gains. So I guess, from my perspective, I'm trying to think if like you keep seeing stick build homes, prices go up, and it becomes super competitive, maybe you could end up with more customers.
Patrick Waite: I mean, I would say that in any particular submarket, at a minimum, it will be directional. Just high level Case-Shiller was up 16% for the quarter. It was up 12% for the quarter in Q1. So we're seeing kind of a similar trend. When I said 10%, we're actually up 11% for the second quarter. And in Q1, we were up 6%. So you're seeing an acceleration in that pricing just based on that high level of demand.
Joshua Dennerlein: And then I noticed if I look at your annual RV same store versus 2019 levels, it looks like it's up a fair bit. I'm assuming some of that might be just the same store pool change. But is there something else doing that, like conversions, the big increase in conversions from 2019 or maybe just like a growth? Is there anything to that or I'm doing that wrong?
Patrick Waite: Well, there's certainly an uptick in occupancy, Josh. There's also -- and part of that is the contribution from the expansion sites that we've added. So that's driving that.
Operator:  Our next question comes from John Pawlowski with Green Street.
John Pawlowski: Patrick or Marguerite, could you give me a sense for how meaningful the shift in weekday bookings have been? And if it's enough of a needle mover to change how you think through the risk of the transient business, because ostensibly that would put a little bit more -- put a little bit less pressure on weaving the needle on weather driving the need.
Marguerite Nader: I mean we've seen an increase. It's probably been 4% or 5% increase overall in the nights in occupancy. So I don't think that changes the metric as how we think about transient overall. And we also think that there's some amount of work flexibility that's factoring into that and that seems to be changing over time here as people return to office.
John Pawlowski: So in the past, you've kind of made the claim that or the statement that transient RV parks are kind of mispriced relative to annual or relative to MH in a post-COVID world with more work from home flexibility. Do you still stand by that or are the trends in RV is becoming more interesting at current pricing?
Marguerite Nader: Well, I think that we will always tend to want to invest in assets where you have a long term customer base that you don't have to kind of go out and market every weekend for. So I would still stand by the annual seasonal business, the stickier business, a more high quality cash flow than what you see on the transient side. On the transient side in certain locations where it's extremely well located and there may be an opportunity there. But for the most part where we will be sticking with the annual seasonal business that's cleared this very well.
John Pawlowski: Okay, thanks very much.
Marguerite Nader: Thank you all for joining us today. We're available for any additional questions. Have a great rest of the summer.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.